Operator: Good afternoon everyone. Thank you for standing by and welcome to Volaris' Third Quarter 2014 Financial Results Conference Call. All lines are in a listen-only mode. Following the company's prepared remarks, we will open the call for questions and answers. Instructions will be provided at that time. On this call, you will hear from Enrique Beltranena, CEO and Fernando Suarez, CFO. Also joining us is Holger Blankenstein, Chief Commercial Officer. Before we begin, please let me remind everyone that some of the statements on this call will constitute forward-looking statements within the meaning of applicable securities laws. Forward-looking statements are subject to a number of factors that could cause the company's actual results to differ materially from its expectations for reasons described in the company's filings with the U.S. Securities and Exchange Commission. Furthermore, Volaris undertakes no obligation to publicly update or revise any forward-looking statement. For our opening remarks, I will hand over to Volaris' Chief Executive Officer, Enrique Beltranena. Please go ahead sir.
Enrique Beltranena: Thank you operator and good afternoon everyone. (Inaudible) A, net profits, B, net margin expansion, and C, record non-ticket revenues per passenger. Management worked diligently on network adjustments to improve the key performance metric towards profitability. We have carefully managed our domestic capacity in the current competitive landscapes which was key to this performance improvement and was accomplished despite a still fragile, but improving macroeconomic and consumer environment. Bottom-line, we reported that our third quarter net margin expanded to 9%, an improvement of two percentage points. Capacity was rationally managed in routes where demand was weaker, but anticipated and/or slow to recover in addition to the markets where excess capacity existed. Volaris maintained its low fare model and continued to have low base fares, but proactively yielded all our supply and demand conditions permitted. We are under impression that market has gradually absorbed the value added tax and airport tax increases. Given the robust yield environment in the international markets, we increased international capacity by 17.6% for the third quarter year-over-year. Furthermore, we announced the launch of three new international destinations and nine new international routes for the fourth quarter focusing on point-to-point service for VFR and leisure customers within our core. In the U.S., we recently launched service and certified for operations and maintenance to Portland in Oregon and announced Reno, Nevada and Fort Lauderdale, in Florida to be operated by year-end. On the domestic front, we increased our presence in our newest base, Monterrey with the total of 19 point-to-point routes out of this station in line with our focus on the VFR and leisure markets. With these openings, we have become now the Mexican carrier with most domestic routes operated. With the latest route additions, we added 11% of total capacity ramp up as of September 30. Ramp up means routes that have been in operation since 2013, which has enabled a diversification of our network to produce better profitability. From a network diversification standpoint, we have reduced capacity concentration. We feel that our load factor of 83.4% was a profitable tradeoff, despite a 4.1 percentage point decrease versus last year. We consider that in a sluggish economic growth environment and challenging fair market like the one that we experienced, year-to-date managing our third quarter load factor to benefit the yield recovery was absolutely important to drive profitability. The actions demonstrated first, stabilization of yield on a year-to-year basis; second, we continue improving the yields in Tijuana and Guadalajara at the expense of some lower passenger volume and the used available seat miles. Third, our Monterrey base is in development and capacity management during their high reason, resulting in operating 19 point-to-point routes, which we didn’t have at the beginning of the year. Fourth, we executed multiple initiatives in the bus switching program during the third quarter, converting more than 20,000 bus passengers into first time air travelers. And five, adverse weather conditions and the humanitarian aid flights in Los Cabos and La Paz in September. After challenges in total unit revenues or total fee run, capacity managed for profitability drove an important reversal of trend in the quarter. Our yields stabilized on a year-on-year basis for the quarter while managing a lower load factor, recovering yields and strong non-ticket revenues resulted in a positive total revenue per available seat mile growth of 1% for the quarter, reaching 128 peso cents. As revenue, passenger miles increased 1.5% to 2.6 billion pesos. On a non-ticket revenue per passenger front, we managed a 44% increase in the quarter, 44%. This is the record level on a per passenger basis, resulting in non-ticket revenue representing a very healthy and expanding 19% of total operating revenues. While retail on-board has matured, the baggage revenues now reflect a much better product acceptance during the high season. In addition, we continued to optimize pricing of the ancillary products and we continue working on a better web display. Cargo profitability has also been improving as the year progresses. Volaris managed for profitability rather than market share, but still was able to retain domestic presence, market share presence at 24%. In particular, during the month of July, the highest profit month of the year, Volaris achieved 25.4% domestic market share, the core of the market in the domestic market. On a U.S. dollar basis, our cost per available seat mile or CASM decreased 2% for the quarter. We continue to be the lowest unit cost producer in the Americas and continue to focus on cost control. Being an ultra-low-cost carrier, fuel expense represents our most important cost line, 40% of total operating expenses. We have experienced lately some tailwinds in this area with the recent drop in oil prices. We continue to carefully manage our fuel burn per block hour reaching a combined 704 gallons per block hour year-to-date. We will expect this very important tailwind to continue to shorten as oil prices keep on falling, and we incorporate the new fuel efficient aircraft in our fleet. On the regulatory and infrastructure front, the Mexican Federal Government announced the new airport construction plan this quarter, which we will [always see] as the long-term positive. In the meantime, Volaris continues managing the Mexico City’s slot constraints in a very successful model by way of maximizing the use of our slots through up-gauging our operations from A319s to A320s . A new realm of bilateral route negotiations between Mexico and the United States took place early September. And Volaris’ preliminary perception of the potential outcome continues to be that it can be neutral for our VFR point-to-point model in the short-term and can create very good opportunities in the long-term. The company is cautiously following the Ebola situation around the world and has properly prepared its operations. Before handing it over to Fernando, I would like to reaffirm the commitment of the Volaris team to continue successfully managing the variables within our reach in challenging times with the goal to expand profitability and grow shareholder value. I would like to take a little stop here to thank you Volaris’ ambassadors for their amazing job done during this quarter. So, now Fernando please go ahead and give all the details on the financials.
Fernando Suarez: Thank you, Enrique and thanks to all of you for joining the call today. Let me take you through some of the highlights of this third quarter demonstrating the important turnaround and progress we’ve made. Total operating revenues were Ps.4 billion for the third quarter, an increase of 7% due to stabilization in yields resulting from our capacity discipline and non-ticket revenue growth. Volaris booked 2.6 million passengers in the third quarter. This equates to a 3% growth year-over-year. During the third quarter, our non-ticket revenues reached Ps.742 million a growth of 48%. On a per passenger basis, we reached a record Ps.281, a growth of 44%. If we were to exclude cargo, non-ticket revenues per passenger increased 68% in the third quarter. Non-ticket revenues already represents 19% of total operating revenues. Total revenue per available seat mile was 1% higher reflecting a reversal intendancy. RASM, which excludes non-ticket revenue was 5% lower compared to the third quarter 2013. In U.S. dollar terms, our cost per available seat mile was $8.06 for the quarter 2% lower than the same period of 2013. In Mexican Peso terms, cost per available seat mile was Ps.116, a 2% increase during the quarter driven by a higher average exchange rate and slower ASM growth. As Enrique mentioned, we have started to benefit from declining jet fuel prices in the quarter. We only hedge 21% of our third quarter jet fuel consumption and our jet fuel hedging P&L year-to-date has been breakeven. Going forward on the risk management front, our low level of hedging will help us to capture fuel cost savings from declining oil prices. As of today, we have only hedged 27% and 14% of our expected fuel consumption for the fourth quarter of 2014 and the first quarter of 2015 respectively. Adjusted EBITDAR was Ps.1,085 million with a 27.2% adjusted EBITDAR margin. EBIT reached Ps.361 million, a 9.0% operating margin. Net income reached Ps.347 million representing a net margin of 8.7%, an expansion of 1.9 percentage points. On an earnings per share basis, we earned Ps.0.34 for Series A shares and $0.26 per ADS. As of September 30, 2014 the company fleet was comprised of 48 aircraft that is 29 A320s and 19 A319s with an average age of 4.3 years. On the fleet financing side, we have managed to make important progress as well. We have managed to obtain 100% pre-delivery payment financing for all of our very large A320 field deliveries in 2015 and 2016. And we have also executed operating leases on all of these deliveries. From now on, we only require PVP and lease financing for NEOs out of our order book, which starts arriving in 2017. The upcoming Airbus A320neo powered by Pratt Whitney engines performed its first best flight in September of this year with encouraging results, indicating at least a combined 15% fuel burn reduction. We are well positioned to take early deliveries of straight operating lease, NEOs in 2016. We are also preparing a retrofit program of our existing A320s to increase seat density from 174 to 179. These retrofit programs should be fully executed by the first half of 2015 supporting further unit cost reduction. On the balance sheet side, we continue to maintain a good liquidly position. Volaris had Ps. 1.8 billion in unrestricted cash and cash equivalents. The company reported negative net debt or a positive net cash position of Ps. 922 million. And total equity was Ps. 3.8 billion. During the third quarter, Volaris incurred capital expenditures of Ps. 370 million, which included pre-delivery payments for future deliveries of aircraft net of refunds Ps. 152 million and acquisitions of rotable spare parts, furniture and equipment of Ps.218 million. In addition to the pre-delivery payment facility rollover that we mentioned earlier to cover our four remaining A320 delivering in 2016 representing an amount of $41 million, we have also short-term available credit lines of $20 million for our day-to-day operations and obligations. We expect to end the year with 50 aircraft. As we begin to plan for next year, our ASM capacity guidance for the fourth quarter is 2% to 3% and full year of 8% to 9% in 2014. This is broken down by 6% domestic and 17% international for the full year 2014, reflecting cautious capacity management in the domestic market and the strong expansion in the international market. In 2015, we have five scheduled aircraft deliveries and two returns. Should market conditions show improvement, we have the ability to increase the fleet with operating leases and/or lease extensions. In recent days, we executed a term sheet and obtained all our corporate approvals to receive our first two new sharklet equipped A321s to be delivered in prime positions during the second quarter of 2015. These new A321s with 218 seats, plus the secret configuration of the existing 24 A320s will help us grow in slow constrained Mexico City Airport with lower unit costs and is a response to maximize the use of our slots in such an important airport. For 2015, as we continue to see signs of recovery and improving market conditions, we see an ASM capacity growth in the 10% to 12% range which includes our [secret of it] program under two new A321s. We will retain the flexibility in our network design that allows us to increase or decrease this capacity growth, depending on market conditions. We remain cautiously optimistic about the short-term but we are satisfied with these results of the quarter, both from a financial and an operational perspective. Now, I’ll ask Enrique to make his closing remarks before we open the line for questions.
Enrique Beltranena: Thanks Fernando and congratulations for a great job this quarter. After navigating difficult challenges in the last 12 months, we are reporting net profit and net margin expansion along with an improved financial and operating result. We continue managing capacity for profitability in a very disciplined way. While the Mexican economy has been gradually regaining growth and the Mexican air travel market has seen slight improvements in the big travel season, our financial and operating results begin to demonstrate recover performance and the long-term value creation potential of our business model. Before wrapping up, we would like to report that our Chairman, Gilberto Perezalonso will be retiring to spend more time with his family. After a very, very long and very, very successful career. I’m sad that Gilberto is leaving the company. And I thank you him very much and the entire organization together thanks the wonderful work he did for Volaris and wish him the very best of luck. The Secretary of the Board of Directors has summoned a general shareholders meeting to take place on November the 6. The main purpose of this meeting will be to recommend the appointment of Mr. Alfonso González Migoya, as our new Chairman. Alfonso has an impeccable curriculum and extensive experience in leading Mexican companies and Boards. He was the Chairman and CEO of Grupo Industrial Saltillo until today. Held different senior roles in Grupo Alfa, in Grupo Sitsa, in Grupo financier, a Bancomer and he was a Board member both in Coco-Cola FEMSA and Bolsa Mexicana de Valores and Instituto Tecnologico y de Estudios Superiores de Monterrey. I would like to thank everybody for your patience and for participating in the call today. Operator, please do me a favor and open the line for questions.
Operator: Thank you. We will now begin the question-and-answer session. (Operator Instructions). Our first question comes from Duane Pfennigwerth with Evercore.
Duane Pfennigwerth - Evercore: Hi, good afternoon. Thanks for the questions. Just on the ancillary of the non-ticket revenue per passenger line, I wonder if you can comment on what you felt was particularly strong in terms of the year-to-year growth here in the third quarter? And what initiatives do you have in place that maybe haven't fully contributed yet as we think about growth into 2015 and beyond?
Holger Blankenstein: Hello Duane, this is Holger. Thanks for your question. So, in the third quarter, we continued to mature the product that we launched in 2014, remember that we have a new reservation system that helps us really sell more ancillary products, and the main drivers here are a good uptick in the high season of our retail on-board program and carry-on charges that we implemented earlier in the year. In the third quarter, we also optimized pricing of selected products for high season and low season and time of day and type of route. And in addition, we continue to work on a long pipeline of products in development to be rolled out in the fourth quarter and during 2015.
Duane Pfennigwerth - Evercore: That’s great. And then, I wanted to ask on the 4Q just to confirm -- on the 4Q capacity growth you said 2% to 3%. What are you seeing that leads you to that conclusion, is there anything in the short run that is maybe preventing you from pushing a little harder or you just feel like that’s the appropriate growth rate given the environment?
Fernando Suarez: Hi Duane, this is Fernando. We are being very cautious in capacity management as we have been stating continuously. We do see our SKU towards the international market. So year-end, we should be growing AFM full year 2014, 70% and we’re modulating domestic 6% on the domestic side. Remember that we’re also managing for profitably, so we really want to be very cautious on how we manage capacity in general in the fourth quarter, and we’ll be very cautious about that.
Duane Pfennigwerth - Evercore: Okay. That’s great. And in that regard, can you give us a sense for what that growth rate looks like by month, we’ve certainly observed a lot more dynamic scheduling on your part and a lot more shaping in the schedule around the peak periods.
Fernando Suarez: Well, what I can tell you is that we will be growing the international markets quite significantly in the fourth quarter, and domestic market is going to be pretty much flat for the fourth quarter.
Duane Pfennigwerth - Evercore: Okay.
Enrique Beltranena: Obviously Duane, we will have more capacity in December as traditionally we do it.
Duane Pfennigwerth - Evercore: Okay. We can follow-up and certainly look to the schedules for that. And then just lastly, given really the stronger than at least what we had modeled fare recovery in the third quarter, how much of this is a recovery in domestic versus maybe mix to higher fare international markets? And thanks for taking the questions.
Holger Blankenstein: Yes Duane, the international market has been performing relatively well all throughout 2014. We have seen revenue momentum pick up in domestic market in the third quarter. We're obviously managing for profitability of our capacity, so we've been able to pick up some yield gains in the third quarter. And as we look into the fourth quarter, we see that revenue momentum has continued in October 2014 with favorable load factors and unit revenue trends, and if we look even more forward, current bookings for November and December are also looking pretty healthy.
Duane Pfennigwerth - Evercore: Okay, thank you.
Operator: Our next question comes from Michael Linenberg with Deutsche Bank.
Michael Linenberg - Deutsche Bank: Hey, and good afternoon everybody. Just a quick question here on the international exposure. It does look like we’ve seen the capacity tick up I think in the last month. It looked like 26% of your ASMs are international, that's up probably three, four percentage points over the last year. I know that your U.S. dollar receipts of international sales have been running at a higher clip, I think that you do sell a decent amount of travel in the United States. The last that I recall was somewhere in the mid 30s. Have we topped 40% on U.S. dollar receipts of tickets; where are we on that?
Fernando Suarez: Hi Michael. This is Fernando.
Michael Linenberg - Deutsche Bank: Hi Fernando.
Fernando Suarez: Hello. As you know, we do have this benefit of our de facto (inaudible) system by way that in addition to the U.S. operations we get more than disproportionate cash flow collection in U.S. dollar terms. So that has gone beyond the 40%, and basically already reaching closer to anywhere between in and around 44% of U.S. dollar collection.
Michael Linenberg - Deutsche Bank: And Fernando, can you just remind us what percentage of your costs are in U.S. dollars, because it does seem like you’re slowly narrowing that gap or matching your cost and revenues?
Fernando Suarez: Right. It used to be two-thirds dollar denominated; with the decrease in fuel prices, we will probably well below 60%, closer to around 56ish percent.
Michael Linenberg - Deutsche Bank: That’s great, perfect. And then just one other question here, you were kind enough to update us on what your fuel hedge position was for the fourth quarter and also the March quarter of 2015. Can you tell us what you’re paying at -- what your spot price is in pesos; what you’re paying right now at on a spot basis?
Fernando Suarez: Of course Michael. Our latest fuel invoice is the equivalent of $2.69. Remember that there is a lag, so if spot price is slightly lower than that, but there is a couple of weeks of lag and that we're starting to see that benefit and would expect to continue seeing that in the next few weeks as oil prices have gone lower and we get to get that benefit. That lag is usually two to three weeks.
Michael Linenberg - Deutsche Bank: Would you have that at all in the peso cents per gallon? I know since it’s the all in price and sometimes there is taxes and other interplaying fees and transportation costs that fall into that.
Fernando Suarez: Yes, that $2.69 excludes [already] stripped out of interplaying cost.
Michael Linenberg - Deutsche Bank: Okay.
Fernando Suarez: So, you can compare that to spot market.
Michael Linenberg - Deutsche Bank: Okay. Alright, very good then. Thank you.
Operator: The next question comes from Helane Becker with Cowen & Company.
Helane Becker - Cowen & Company: Thanks very much operator. Hi gentlemen, thanks for the time. Just on the tax rate. The 26%, how does that compare with kind of what you are thinking about for the full year rate and for 2015?
Fernando Suarez: Hi, Helane. Basically, if we look at it more on a year-to-date basis, that cumulative effective tax rate is closer to 60%. And as we continue and expect to utilize NOLs further, obviously we will not be booking the statutory rate and it should be in a very similar range to that 60%, but we'll give you a better rate as we have a better estimate on year end.
Helane Becker - Cowen & Company: Okay. Can you say how it will adjust maybe as you grow more in the international market unless in the domestic market?
Enrique Beltranena: Are you referring to the tax rate?
Helane Becker - Cowen & Company: Yes, yes. Sorry, the dollar. I think you said to make that your dollar is reaching closer to what 44%. Is that going and your international growth schedule to be something like 17%? Is that going to shift your tax rate to a greater or lesser amount?
Enrique Beltranena: No Helane, it should not have any effect. Our mix between international and domestic grows on the tax rate. They are independent.
Helane Becker - Cowen & Company: Do you ever owe the U.S. government many?
Enrique Beltranena: No, we’re Mexican domiciled company and we pay our taxes here in Mexico.
Helane Becker - Cowen & Company: Thank you very much. Those were all my questions; Duane and my, cut the others. Thank you.
Operator: Thank you. Our next question comes from Bernardo Velez with GBM.
Bernardo Velez - GBM: Hi, good afternoon guys. I was wondering if you can help me to better understand your -- as we could say strategy shift or meaning we didn’t receive a lot of this stimulating demand and load factors via significant lower fairs and what could we expect in the short-term?
Enrique Beltranena: Hi Bernardo. And thanks for joining us for this phone conference. This is Enrique Beltranena. So Bernardo, we keep on incentivizing the market with low fares, I mean the difference broadly is that the fares have, the base fare have been recuperating there yields from February through September, but that doesn't mean Volaris is separating itself from its ultra-low-cost carrier philosophy in terms of the fares and in terms of costs. Having said that, it is important to say that we continue practicing or we continue enforcing (inaudible) in terms of ancillary revenues. I think while market keeps them evolving in terms of base fares, you will restart seeing the difference between the traditional legacy carriers’ pricing levels and the ultra-low-cost carrier pricing. I think what is important bottom-line of entire thing is how we are managing the combination of the different indicators producing better profitability at the bottom-line which is very important for our shareholders’ return.
Bernardo Velez - GBM: Okay. That's perfect. And also during the quarter you reduced your aircraft utilization rate. Could you give us a little bit more color on this? And what should we expect some new plane orders continue to arrive in the next years. It may seem that the lower demands isn't going to post strong increases as you won't be reducing your fares that much.
Enrique Beltranena: No I think, I mean let's breakdown the question in two pieces. The first part is utilization. I think utilization is basically a factor which is part of the managing capacity. We have been changing capacity from the traditional concentrated markets where we used to be down to new markets or new sleepers within the same core strategy of the company. That’s producing two effects, the first effect is probably while our station has basically stayed the same, we have more cycles per day and that’s something really important. The second part which is really important of that strategy is it’s being managed by high season and low season which this year because of the crisis has been much more marked than in previous years, so that’s the capacity thing. On the fares, we will continue producing the fares. I think it’s important to say that Volaris is back to the base fare level as we were a year ago when we launched the transaction to become a public company. And those fares were by that time considered low fares and considered very low fares. I think again what you’re seeing and what you’re having is an impression which is part of the same recuperation of the base fare market. And we expect that split between the actual ultra-low-cost carrier fares and the traditional full legacy fares to be start separating themselves in the following months.
Bernardo Velez - GBM: Okay, perfect. That was actually very clear. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Mr. Enrique Beltranena for any closing remarks.
Enrique Beltranena: I basically have no closing remarks, but saying thank you very much to the analysts, to investors to shareholders the most important, we couldn’t make this happen every day, our employees and our ambassadors, you know how proud I feel on all of you and the turnaround that the company has made in the last quarter. Thank you very much to everybody. It was a great pleasure.
Operator: Thank you, sir. The conference is now concluded. Thank you for attending today's presentation. You may now disconnect. Take care.